Operator: Good morning and welcome to the DCP Midstream Partners second quarter of 2010 earnings conference call. All participants will be in listen-only mode. (Operator Instructions). I would now like to turn the conference over to Mike Richards, Vice President and General Counsel. Please go ahead, sir.
Mike Richards: Thank you, Andrea. Good morning and welcome to the DCP Midstream Partners second quarter 2010 earnings release conference call. As always, we want to thank you for your interest in the partnership. Today, you will hear from Mark Borer, President and Chief Executive Officer and Angela Minas, Vice President and Chief Financial Officer. Before turning it over to Mark, I will mention a couple of items. First, all of the slides we will be talking from today are available on our website at www.dcppartners.com in PDF format. You may access them by clicking on the investor page and then the webcast icon. Next, I would like to remind you that our discussion today may contain forward looking statements. Actual respects may differ due to certain risk factors that affect our business. Please review the second slide in the deck that describes our use of forward-looking statement and lists some of the risk factors that may affect actual results. For complete listing of the risk factors that may impact our business results, please review our form 10-K for the year-ended December 31, 2009 as filed with the SEC on March 11, 2010 and updated through our subsequent SEC filings. In addition, during our discussion, we will use various non-GAAP measures, including distributable cash flow, adjusted EBIDTA and adjusted segment EBIDTA. These measures are reconciled to the nearest GAAP measure and schedules provided on our website. We ask that you review that information as well. And now, I will turn it over to Mark Borer.
Mark Borer: Thanks Mike. Good morning everyone and thanks for joining us today for discussion of our second quarter results. As you saw in our press release last evening, we reported second quarter results which were in line with our 2010 DCF forecast. In addition to meeting our financial goals, we have been diligently executing our growth opportunities and related business objective which we will also discuss today. On slide three, you will see our agenda for this morning. I will begin with some highlights of the quarter. I will then provide an operational update including execution of growth opportunities across all three of our business segments. Angela will follow with the financial overview of the quarter. We will close with our outlook and summary. We are pleased with the progress we have made thus far this year. We’re optimistic about the future and believe we are favorably positioned to continue executing our growth strategy as we move through 2010 and beyond. Turning to slide four, let's discuss some highlights for the quarter. Second quarter financial results are on track to achieve our 2010 DCF forecast. We generated distributable cash flow of $24.9 million for the quarter and $56.6 million year-to-date providing a distribution coverage ratio of 1.14 times year-to-date and 1.2 times over the trailing four quarters. In our year-end earnings call, we reintroduced the resumption of distribution growth as a 2010 objective. We declared a cash distribution of $0.61 per unit for the second quarter which is a 1.7% increase. The increase in our distribution speaks to our solid and sustainable business results as well as our recent execution on growth opportunities. We are pleased to now have delivered on that important 2010 objective. Improvements in the business environment along with opportunities in the market have enabled us to continue to execute on our growth objective through a series of fee-based acquisitions and capital projects around our existing footprint. Last week, we closed on an acquisition which expanded our existing wholesale propane business into the mid-Atlantic region through the addition of a marine import terminal and storage facility in Chesapeake, Virginia. We also acquired this past week the remaining 55% interest in our Black Lake fee based NGL pipeline. The junction of our general partner, DCP Midstream, we announced in May, plans to create an NGL joint venture with EQT Corporation in the Appalachian Basin. Under the letter of intent, EQT and the DCP enterprise would pursue gas processing and related NGL infrastructure opportunities in the Marcellus and Huron shale areas. I will discuss more of the details around each of these exciting growth opportunities as I go through the segments. 2010 is an integration year for the November 2009 Michigan acquisition as well as our January 2010 Wattenberg pipeline acquisition. Both projects are progressing on plan and we will drive incremental cash flows in 2011. The key element of our growth strategy is our financial positioning. On that front, we have continued to execute on our financial objectives, having received our second investment grade rating from Fitch in May. In summary, we are progressing well in terms of delivering on our 2010 business plan commitments. Turning to slide five, I will provide a brief operational update starting first with our natural gas services segment. As is the case again this quarter, we view our diverse geographic footprint as a strong positive as it provides us with access to multiple resource place, contract types and customers. Gas throughput volumes help firm and we’re virtually flat on a sequential quarter basis. Since the second quarter of 2009, gas throughput volumes have been down a modest 2%. We’re continuing to experience a modest rig count recovery from the lows we experienced in the second quarter of 2009. NGL production was up 3% on a sequential quarter basis. Plant turn around in east Texas and Discovery had a modest unfavorable impact during the quarter. Integration efforts related to our Bolton acquisition of fee-based assets in Michigan are proceeding according to plan on time and on budget. We have rationalized some of the treating plan infrastructure and have begun to realize some of the targeted synergies. We continue to see growth opportunities in this segment. We believe the emerging shale plays will continue to provide infrastructure development opportunities. Our recent announcement around the Marcellus is an example of this type of opportunity. On the next slide, I will discuss this opportunity in more detail. Joint ventures between DCP which is collectively the partnership and our general partner DCP Midstream as well as EQT Corporation. As contemplated by the letter of intent, DCP and EQT will each initially own a 50% interest in the JV. The JV is intended to serve EQT as well as third-party producers in the Marcellus and Huron shale areas in the Appalachian Basin. Regarding the formation and initial investment in the JV, DCP would contribute approximately $200 million in cash in exchange for its 50% interest in the JV and would operate the new JV. EQT would contribute to the JV, an equivalent value and existing assets consisting of its 170 million cubic feet per day natural gas processing plant and related NGL pipeline located in southeast Kentucky. Terms and conditions of the JV agreement are being finalized. Filing is expected in the third quarter of 2010. We believe this is a strong partnership with both parties bringing complimentary strengths and capabilities to the table. DCP has an industry leading position in natural gas processing and NGL marketing and is one of the largest NGL producers in the United States. EQT has an industry leading exploration and production position in the Appalachian Basin with over 3 million of firmly held acres. We believe the JV will facilitate additional investment opportunities to meet the rapidly growing needs of EQT and other producers for processing capacity and NGL infrastructure. Indeed, the cash we contribute to the JV will be targeted for extension of existing and development of new facilities. In summary, this represents a strategic entry point into an attractive shale play. It strengthens the diversity of our asset portfolio and provides us with significant potential growth opportunity over a multi-year time horizon. Now, moving to slide seven for our wholesale propane segment. Timing of sales and winter weather tend to vary somewhat each year. While we experienced early cold this winter, we also had an early spring and warmer weather which is reflected in lower demand in propane’s sales volumes in the quarter. This year's winter season was a marked contrast to last year, where our winter weather and higher spot sales volumes occurred later in the season. Lower sales volumes also reflects a planned outage related to our Providence terminal inspection which is required once every 20 years. Additionally related to Providence, we amended a supply agreement to shorten the term of the agreement. The amendment provides us with additional flexibility and sourcing of future supply. In our northeast market area, we continued to see strong demand from the residential service providers for next season. Through our successful contracting efforts, we are well positioned for this upcoming fiscal year. As the past several years have shown, this business model with its fee like nature has provided attractive growth. We have targeted opportunities to expand into new markets. As such, we are pleased to expand our position into the mid-Atlantic to the acquisition of Chesapeake Terminal detailed on the next slide. Last week, we closed on the acquisition of Atlantic Energy, a subsidiary of UGI Corporation for $49 million plus propane inventory and other working capital. Atlantic Energy owns and operates a marine import terminal with 20 million-gallons of above ground storage in the port of Chesapeake, Virginia. The asset serves as an important supply point for propane customers in the mid-Atlantic region. The transaction expands upon our existing position as one of the largest wholesale propane suppliers in the northeast by extending it to the Mid-Atlantic. One of the keys to our success and competitive positioning in the wholesale propane business has been our supply and existing capabilities. This broadens our reach and enhances the reliability of our service to customers. Consistent with our existing business in the northeast, we plan on deploying a business model in the Mid-Atlantic that provides our customers access to rail, truck and pipeline and parched deliveries. By applying our business model, we believe that there are substantial synergies that also can be achieved with our existing business. We expect this transaction to be immediately accretive to distributable cash flow. Moving to slide nine, for our NGL Logistics segment. Just to refresh, we are executing a project to spend approximately $18 million of expansion capital to connect and integrate the recently acquired Wattenberg pipeline with DCP Midstream’s facilities. DCP Midstream, the largest gatherer and processor in the DJ Basin is investing capital to construct a new natural gas processing plant. It is expected to be completed by early 2011, at which time we also expect to begin receiving cash flow distribution contributions from our investment. Our integration efforts and capital expansion project are progressing on plan. This segment generates 100% fee-based margins and is complementary to our gathering and processing business providing broader exposure to the NGL value chain. Is there another area and which we are pleased to have recently been able to execute on targeted expansion opportunities. As I mentioned earlier, we recently acquired the remaining 55% ownership interest in our Black Lake pipeline, bringing our ownership interest to a 100%. We did this through the acquisition of an additional of 50% BP or $15 million and an additional 5% interest in DCP Midstream to $1.5 million. Given the equity earnings, we generate of approximately $2 million per year for our 45% interest. This was an attractive bolt-on opportunity that has been an excellent fit with our asset portfolio and is immediately accretive to distributable cash flow. Now, I will turn it over to Angela to review the financial results.
Angela Minas: Thanks, Mark and thank you for joining us today. On slide 10, we begin with the consolidated financial results. Results are adjusted to remove the impact of non-cash mark-to-market activities of our commodity hedges, which were outlined in the appendix as well as the non-controlling interest in our joint ventures. Adjusted EBIDTA was $26.2 million for the quarter compared to $32.4 million for the prior year. Distributable cash flow of $24.9 million for the quarter resulted in a distribution coverage ratio of approximately 1.0 times similar for that same period last year. Year to date distributable cash flow increased from $50.6 to $56.6 million resulting in a 1.14 times distribution coverage ratio year-to-date. As a reminder, given the seasonality of our wholesale propane business with the majority of earnings coming during the first and fourth quarters, we would expect a lighter second quarter. As such, it is appropriate to look at our distribution coverage on an annual basis. For the last four quarters, our distribution coverage ratio was 1.2 times. For more detail on our results, let's move to the segments. Starting on slide 11, with natural gas services, adjusted EBIDTA was $33.1 million for the quarter, compared to $34.5 million for the prior year. Results for the quarter were positively impacted by the addition of our Michigan acquisition and organic growth at our Piceance Basin asset, offset by higher costs and downtime related to turnarounds at our Discovery and East Texas assets and lower throughput at certain of our natural gas assets. Year-to-date adjusted EBIDTA increased from $59 million in 2009 to $66.4 million in 2010. Year-to-date results were impacted by volume curtailment due to plant shutdowns and producer wellhead freeze offs as a result of the near record cold weather in the first quarter. Results for 2009 include the impact of operational downtime at our Discovery, East Texas and Wyoming assets. Although not included in adjusted EBIDTA, we did realize a cash flow synergy benefit from the rationalization of surplus equipment resulting from our Michigan integration efforts. On slide 12, our wholesale propane segment EBIDTA was a loss of a $0.5 million for the quarter, compared to $3.5 million for the first quarter of 2009. Results for the quarter reflect the planned outage related to our Providence terminal inspection and reduced demand as a result of an early spring and warmer weather, partially offset by an amendment to an existing propane supply contract. Due to the timing of winter and propane demand, quarterly results often do not provide a meaningful comparison. As such, we view results of this business on a fiscal year or heating season basis which is April 1 to March 31. Historically this business has generally – generated its cash flows in the fourth and first quarter and the second and third quarters providing breakeven or nominal cash flow. As such, this quarter's results are somewhat lower but still in line with historical trends. 2009 results reflected late winter weather and increased spot sales opportunities driven by a very favorable marketing environment. On slide 13, our NGL Logistics EBIDTA for the quarter increased from $1.5 million in 2009 to $1.8 million in 2010. Year-to-date EBIDTA increased from $2.9 million to $5.5 million in 2010. 2010 results reflect higher per unit margins as well as increased throughput volumes associated with an additional pipeline interconnect early in the year. Slide 14 reflects our 2010 DCF forecast, which we provided on our year end earnings call. Second quarter and year-to-date results were in line with our forecast. If you take into account the commodity prices year-to-date and general market views of prices for the balance of 2010, the highlighted section of the table would indicate 2010 DCF between $105 and a $115 million, providing a distribution coverage of 1.05 times to 1.15 times and our current $101 million distribution levels. This forecast excluded the impact of future potential acquisitions or any unannounced organic expansion projects. The Chesapeake and Black Lake acquisitions we just announced, would add an estimated $3 million to 2010 DCF, net of any transaction and integration costs. Beyond 2010, we would forecast additional cash flow distributions as the Wattenberg integration and expansion is completed in early 2011. And as we move beyond the integration of the Michigan acquisition and more fully realize the synergy benefits. Due to our Distributable cash flow performance, is the nature of our contracts and our commodity hedging program. We estimated that approximately 55% of our forecasted margin is fee-based. Given the fee-based nature of our growth, this percentage would be expected to increase. Of our commodity based margin, we have hedged over 80% of our equity position in natural gas liquid, condensate and natural gas, these results in 90% of our 2010 margins being fee-based or supported by commodity hedges. Our 2010 positions is part of a multi year hedging program that extends into 2015. As cited by S&P and Fitch, with our recent investment grade ratings announcement, our sizable fee-based revenues and multi-year hedging policy are our key strengths in our financial position, which I will discuss on slide 15. We have continued to execute on our investment grade plan, which was accelerated from our original objective of obtaining an investment grade rating prior to the maturity of our credit facility in June 2012. We believe there are certainly benefits to doing so with respect to cost to capital, access to capital and competitive positions. We are pleased to have been able to achieve our S&P and Fitch triple B-minus stable rating, well ahead of our targeted timetable. We are committed to a financing strategy that maintains a strong capital structure and significant liquidity to enable us to execute our growth strategy. We believe that our sources of capital are more than adequate to support our 2010 forecast and planned capital spending. Our successful November equity offering demonstrates our ability to access the equity market and our investment grade plan positions us well to access the public debt markets. We have an excellent $850 million credit facility that extends through June 2012. At the end of the second quarter we had drawn $615 million resulting in available capacity of $235 million. More recently, we financed the Chesapeake and Black Lake transactions with borrowings under our credit facility. You will note that the credit facility commitment is $25 million higher than we indicated in the previous quarter. This reflects the reinstatement of $25 million of available capacity through the transfer of the former Lehman commitment to another global financial institution added to our bank group. With respect to long-term financing of growth and debt under our existing credit facility, we will continue to stake a strategic and disciplined approach. We have maintained liquidity and credit metric consistent with our investment guide rating and plan to continue to do so in the future. And now, I will turn it back over to Mark.
Mark Borer: Thanks, Angela. Please turn to slide 16. I spoke briefly about each of the recent growth opportunities that we have executed on or have in progress this year. Not only are we pleased with each of the opportunities individually, but we are also very pleased with the strategic and disciplined execution of our overall growth plan. On our year end earnings call, I provided you some insights into how we are thinking about future growth opportunities. Although, a very broad potential opportunity set, we have now checked the box at least initially on a number of opportunities as we continue to execute our plan. In summary, our growth opportunities have continued to enhance the diverse of our asset portfolio. We have executed on growth across all of our business segments and are in the process of extending our geographic footprint. Additionally, this growth will result in an increased percentage of fee based margins. As cited by both S&P and Fitch and with our recent investment grading announcements, our sizeable fee based revenues and diverse asset base are key strengths in our financial position. Moving to the next slide. I’d like to close this morning with our outlook in a few summary points. First, our results to-date positions us well. We are on track to achieve our 2010 business plan commitment and DCF forecast. Resuming distribution growth has been an important 2010 objective. We are pleased to have delivered on that commitment. Our target continues to be top quartile total shareholder return and we believe that is achievable given the breadth of the DCP Enterprise. As we continue to grow the partnership having the strong sponsorship from DCP Midstream, Spectra Energy and ConocoPhillips is a significant benefit to us and our unit holders. That is the conclusion of our prepared remarks. As I turn it back over to the operator for your questions, I just want to express my appreciation for your interest in the partnership and joining the call today.
Operator: (Operator Instructions) Our first question comes from Michael Blum of Wells Fargo. Please go ahead.
Michael Blum – Wells Fargo: Thanks. Good morning, everybody.
Angela Minas: Good morning Blum.
Mark Borer: Good morning, Michael.
Michael Blum – Wells Fargo: Couple of questions. I guess the first one under the guys of what have you done for me lately. What's the thought – you have now raised the distribution and you know your slide says you delivered on that. Does that mean that we’re done for the year or is it possible that there could be additional increase in this year?
Mark Borer: Michael, this is Mark. Good morning. And thanks for the question. Relative to distribution growth, that’s obviously a continuing objective of ours to achieve what we have set out, as far as our objective on total shareholder return. We realize that we will need to grow our distribution on a consistent basis. Having said that, that is a quarterly decision as we look at our overall portfolio and our coverage and where we’re at the business cycle and where we are executing on growth. But clearly, it’s our objective and plans to grow our distribution on a sustained basis.
Michael Blum – Wells Fargo: Okay. I think, the next question is for Angela. Given the investment grade ratings you have, is there the possibility that you – could you redo your revolver and realize a better lower cost pricing, basically are you pretty much happy where you are at?
Angela Minas: Given our relationship with Midstream at the time that we had put together the initial revolver, we do have investment grade terms and conditions. So we’re at LIBOR plus 44 basis points in our credit facilities, which is probably better than an investment grade could get in the marketplace today.
Michael Blum – Wells Fargo: Okay. If you did a public debt offering, what kind of pricing do you think you could get, let’s say in ten year type of running?
Angela Minas: That seems to be a moving target depending on rates. We are by both of the agencies at triple B-minus stable. So we would probably price, given that we have two ratings with a small discount. I guess, we had three ratings, so let's call that somewhere in the range of 10 to 25 basis point, from where a triple B-minus would issue.
Michael Blum – Wells Fargo: Okay. Thank you.
Mark Borer: Thank you, Michael.
Operator: Thank you. Our next question comes from Gabe Moreen of Bank of America. Please go ahead.
Gabe Moreen – Bank of America: Hey, good morning everyone. Question on the Marcellus JV, maybe I didn't catch this on the call and it sounds like it's still being finalized. I don't know if you can speak to whether the partnership is going to be contributing any upfront capital to the JV and longer term whether it’s contemplated that the partnership is going to I guess participate in Greenfield early stage investments, or is it something that the partnership would contribute capital one or perhaps there’s more mature assets to acquire at the partnership level, at the JV level, excuse me?
Mark Borer: Relative to your first part of the question, it is contemplated that DCP, the enterprise would contribute $200 million initially in cash and they would attribute assets with a corresponding value. As we look forward, we did enter into a structure with both Midstream Partners and find the LOI. So the structure does provide us the flexibility for either Midstream or partners to invest. There may be projects due to their size or lead time or development profile that are more suitable to Midstream to fund or maybe for some combination of Midstream and partners. But, we clearly have that flexibility. I think, it is important to note that Partners is intended to be a primary growth capital deployment vehicle for the DCP enterprise. But given the financial strengths, the overall enterprise, it does give us flexibility in how we fund and obviously, putting projects in the MLP that are suitable from a growth viewpoint and an accretion viewpoint.
Gabe Moreen – Bank of America: Got it. And don't know if you can also speak, Mark, maybe to the commodity sensitivity at the JV both in terms of the existing assets, maybe with the contract structures might look like going forward?
Mark Borer: We have not finalized the exact contract structure. I would anticipate there would be some combination of fee and commodity.
Gabe Moreen – Bank of America: You covered both of them there. Okay. Great. Thanks Mark. Appreciate it.
Mark Borer: Thank you.
Operator: Our next question comes from Yves Siegel of Credit Suisse. Please go ahead.
Yves Siegel – Credit Suisse: Thanks and good morning.
Angela Minas: Good morning.
Mark Borer: Good morning.
Yves Siegel – Credit Suisse: Just to follow-up on, I guess, both Mike and Gabe's questions. As it relates to long term financing on the debt side, what’s the fair way in terms of the amount that – or the minimum amount you’d have do to get an investment grade, not investment grade, but just get a bond deal done? In other words, could you come to the market with $250 million or is the fair way more in the $500 million range?
Angela Minas: $250 is about the minimum in a good size that we could go to market with. And certainly, as we look at the timeframe between now and the maturity of our credit facility, we would likely plan to term out anything that’s permanent financing prior to that.
Yves Siegel – Credit Suisse: Now, and I might be off base here too but my sense is that an investment grade can come to market maybe as low as 4.5. So would you think that you’d be able to get something, if you decide to go to market, below 5% today?
Angela Minas: Markets have been moving around. I think on the five year, certainly you’re looking at maybe 4% or possibly even sub 4%. You’re looking in somewhere in the 5%ish range, 5% and change I think for the ten year, it depends on market conditions.
Yves Siegel – Credit Suisse: Okay. Do you have a number for where you think growth CapEx will be? If you combined the acquisitions that you closed on plus growth capital, what does that number look like for the final six months of the year? And if you have any thoughts on what 2011 might look like?
Mark Borer: We have not put anything up for 2011. I guess, I would say over the last – if you take kind of, last six months, include the Michigan transaction last fall, we’ve executed on about $150 million to $160 million or so of transactions. I see a continued nice activity level through the balance of the year and we would hope that we could make additional transactions that are accretive in that range. So we see a good activity level and will continue to execute our growth plan...
Yves Siegel – Credit Suisse: Okay. Great. And if I could push it to follow-up on Gabe's questions and I’ll say goodbye and good luck. As it relates to the EQT, JV, do you have any sense of what the capital appetite for that JV on an annual go forward basis might look like?
Mark Borer: I think the JV will have a healthy capital appetite going forward. We’re still finalizing plans with EQT, as well as looking at other, serving the other producers. EQT has certainly put out a very robust drilling program to the tune of $900 million or so for 2010. So we see definitely the need for expanding existing facilities and the need for grass root facilities. I think, as we finalize the LOI and move into more of an execution phase, we can be more definitive on that as we move into 2011. But that's where things stand now.
Yves Siegel – Credit Suisse: So, the part B to that question is when you finalize the JV agreement with EQT, would you expect that within that document to delineate the relationship between DC Midstream and the partnership or it will be more between EQT and again the total enterprise?
Mark Borer: Well, clearly the LOI document would delineate the relationship between the DCP enterprise and EQT and we’ll be able to address the nature of our investment from the DPM viewpoint, so to speak, as we initially contribute money’s to the JV.
Yves Siegel – Credit Suisse: Thanks.
Mark Borer: Thank you.
Operator: (Operator Instructions). Gentlemen, at this time, we’re showing no further questions in the queue. Do you have any closing remarks?
Mark Borer: I guess, I’d just like to say if you have any follow-up questions over the coming days, please feel free to contact Angela. And Angela and I can make ourselves available. And once again, thank you for your interest today and wish you a good day. Thank you.